Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode. At the end of today's presentation, we will conduct a question-and-answer session. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to Whit Kincaid. You may begin.
Whit Kincaid: Good morning everyone. Welcome to Mueller Water Products 2019 Second Quarter Conference Call. We issued our press release reporting results of operations for the quarter ended March 31st, 2019 yesterday afternoon. A copy of it is available on our website muellerwaterproducts.com. Discussing the second quarter's results and our outlook for 2019 are Scott Hall, our President and CEO; and Martie Zakas, our CFO. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our website to help illustrate the quarter's results as well as to address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides, and on this call, and discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends on September 30th. A replay of this morning's call will be available for 30 days at 1-800-469-5420. The archived webcasts and corresponding slides will be available for at least 90 days in the Investor Relations section of our Web site. In addition we will furnish a copy of our prepared remarks on Form 8-K later this morning. I'll now turn the call over to Scott.
Scott Hall: Thanks, Whit. Thank you for joining us today to discuss our results for the second quarter of 2019. Before we review our financial performance, I would like to take a moment to talk about the tragedy which occurred at our Henry Pratt facility in Aurora, Illinois. For our Company, February 15th of this year will forever be remembered for this senseless tragedy. We lost many Mueller family members that day. Our hearts continue to be with the victims and their loved ones, the first responders, and the Aurora community. The Mueller family continues to be strong and resilient as team members come together to support and comfort one another in the face of this tragedy. We are incredibly grateful for the outpouring of support and encouragement we have received from the Aurora community and our colleagues and friends across the country. We partnered with the National Compassion Fund to provide direct financial support to the families of our colleagues that were lost and the employees that were impacted by this heartbreaking event. This fund makes it simple for anyone looking to support the families and affected Henry Pratt employees as they begin on their path to healing. What we've seen in the wake of this tragedy from our Pratt team members and from employees around the globe is the embodiment of the values of the Mueller family. From an operations standpoint, our Pratt family of employees has continued to support each other while also focusing on the needs of our customers who have been incredibly supportive as well. After a few weeks, the facility was fully operational although the event caused shipment delays along with other impacts, team members throughout the organization responded with incredible speed and compassion. I am very proud of the team and their commitment to each other. I'll now turn to our financial performance during the quarter. Please turn to Slide 4. Overall, our second quarter performance was below expectations as we faced many challenges from slower than anticipated residential construction and severe weather as well as the impact of the Aurora tragedy. As a reminder, in the second quarter of last year, our net sales increased 16.8%, which was our strongest quarter of net sales growth last year. In the quarter, we generated a slight increase in net sales as the benefit from our recent acquisition of Krausz Industries helped offset lower volumes at both Infrastructure and Technologies. We also continued to realize improved pricing at Infrastructure which more than covered inflationary costs. Our adjusted EBITDA increased 5.4% in the quarter driven by improvements in both Infrastructure and Technologies in addition to lower corporate G&A. Despite the challenges this quarter, our year-to-date net sales and adjusted EBITDA increased 3.7% and 11.1% respectively. We believe our end markets remain healthy driven by steady growth in the municipal markets with residential construction market returning to growth in the second half of the year. In conjunction with improving execution by our teams, we expect to increase net sales and adjusted EBITDA in the second half of the year. With that, I'll turn the call over to Martie.
Martie Zakas: Thanks, Scott and good morning everyone. First, I would like to thank everyone for your support and encouragement after the Aurora tragedy. We are grateful for all your generosity and thoughtfulness. I will discuss our second quarter consolidated financial results and then review our segment performance. Consolidated net sales for the 2019 second quarter increased $800,000 to $234 million driven by the acquisition of Krausz Industries and higher pricing at Infrastructure partially offset by lower volumes at both Infrastructure and Technologies. Our gross profit margin improved slightly versus the prior year despite the decrease in volumes as higher pricing more than offset higher material costs, freight and other expenses. Material costs increased approximately 3% year-over-year in the quarter. Additionally, cost of goods sold included a $2.2 million inventory step-up amortization expense associated with the acquisition of Krausz Industries. Excluding this impact, our gross profit this quarter would have been $77 million with a 32.9% gross margin which is a 100 basis point improvement over the prior year. Selling, general and administrative expenses were $45.7 million in the quarter, a $3 million increase over the prior year. The increase was primarily due to the addition of Krausz Industries. SG&A as a percent of net sales was 19.5% in the second quarter as compared with 18.3% in the prior year. Adjusted operating income decreased $500,000 to $31.3 million in the second quarter. Operating performance at Technologies improved this quarter and helped offset a decrease in adjusted operating income at Infrastructure. Adjusted EBITDA for the 2019 second quarter increased $2.3 million or 5.4% to $44.7 million. Over the last 12 months, adjusted EBITDA was $187.6 million or 20.1% of net sales. We have increased adjusted EBITDA $14.7 million or 8.5% over the prior 12 month period. During the second quarter, we recorded $6.9 million of strategic reorganization and other charges including $4.3 million of one-time expenses related to the Aurora tragedy and $1.1 million to exit a multi-employer pension plan. Turning now to taxes. For the 2019 second quarter, we reported net income tax expense of $3.9 million or 26.4% of income before tax. In the second quarter of the prior year, we recorded a $7.5 million provisional one-time expense for the transition tax on previously untaxed undistributed foreign earnings. Our adjusted net income per share was $0.12 for the quarter, the same as the prior year quarter. Our 2019 quarterly adjusted EPS excludes the strategic reorganization and other charges mentioned earlier, the inventory step-up amortization associated with the acquisition of Krausz Industries, $1 million in expenses related to existing legacy pension plans, and $500,000 of interest expense associated with the Walter tax accrual. Turning now to segment performance starting with Infrastructure. Infrastructure net sales increased $3 million or 1.4% to $214.1 million in the second quarter due to the acquisition of Krausz Industries and higher pricing, partially offset by lower volumes. The decrease in volumes was driven by challenges from lower residential construction and severe weather as well as the impact of delayed shipments resulting from the Aurora facility being closed for about two weeks after the tragedy. Adjusted operating income for the second quarter decreased $1.6 million to $43.4 million primarily due to lower shipment volumes and higher costs associated with inflation, partially offset by higher pricing. Adjusted EBITDA for the 2019 second quarter increased $300,000 to $54.8 million yielding an adjusted EBITDA margin of 25.6% for this segment. Moving onto Technologies. Technologies net sales decreased $2.2 million to $19.9 million in the quarter driven by lower volumes at Echologics, which were partially offset by sales growth at Metrology. The decrease in volumes at Echologics is related to the timing of orders for EchoShore-DX nodes from a couple of large customers. We are encouraged by the progress Technologies has made this year. Our adjusted operating performance improved approximately $300,000 in the 2019 second quarter to a loss of $3.6 million primarily due to improved manufacturing performance and lower SG&A expenses partially offset by lower volumes. In addition, Technologies adjusted EBITDA improved $700,000 in the quarter. Now I'll review our liquidity. Cash used in operating activities for the current year-to-date was $29.1 million primarily due to the timing of collections, planned inventory production spending, and $14.9 million in income tax payments during the period. We also invested $30.5 million in capital expenditures in the period as compared with $14.4 million last year as we accelerated investments in our manufacturing capabilities particularly our large casting foundry in Chattanooga. At March 2019, we had total debt of $445.7 million and cash and cash equivalents of $134.3 million. At the end of the second quarter, our net debt leverage ratio was 1.7 times. I'll turn the call back to Scott to talk more about our results and updated outlook for 2019.
Scott Hall: Thanks, Martie. We remain focused on executing our key strategies to grow and enhance our business by accelerating new product development, driving operational excellence, and delivering go-to-market strategies as a more customer-focused organization. Despite the challenges in the second quarter, we are making progress on our sales strategies with improved price realization more than offsetting inflation in the quarter. After implementing our latest price increases, we believe that we are close to covering the cumulative impact of material cost inflation, which started in 2017. We expect that improvements in our conversion margin will come from higher sales growth and productivity initiatives in addition to continued price realization. We have implemented initiatives we believe will enhance our operational execution and draw cost savings and can help fund future investments in margin expansion. We have a balanced capital allocation strategy focused on enhancing our position as a water infrastructure company and adding long-term value for our shareholders. Supported by a strong balance sheet, we will continue to balance our cash flow among strategic investments to strengthen and grow the business while returning a portion of our cash to shareholders. We continue to prioritize reinvestment in our business through capital expenditures to help support our strategic growth initiatives as well as to keep our facilities poised for manufacturing improvements. In addition, we are refocused on enhancing organic growth through strategic acquisitions and we'll look for opportunities to expand our product portfolio, extend our reach into adjacent channels, and broaden our geographic footprint. We continue to make progress with the integration of Krausz Industries. I am very encouraged by the collaboration among the teams and opportunities ahead of us with Krausz as well as with future acquisitions. I will wrap up my comments with a review of our current full year expectations for consolidated results. We are adjusting our annual guidance expectations for fiscal 2019 to reflect our second quarter performance and what we believe is a temporary slowdown in residential construction in 2019. During the second half of fiscal 2019, we anticipate growth in all of our end markets. This includes residential construction returning to growth in the second half of the year. Overall, we remain positive on the residential portion of our business given the macroeconomic drivers including favorable demographics, job growth, interest rates, and low housing supply. We believe the municipal market remains healthy despite severe weather impacting construction days in the many regions in the US during our second quarter and we expect municipal spending to grow in the mid-single digit range in the second half of the year. As a result, we anticipate that our consolidated net sales will grow between 7% and 9% in 2019 and we will increase adjusted EBITDA between 12% and 15%. Martie will now provide some final comments on our 2019 outlook.
Martie Zakas: Thanks, Scott. For 2019, we expect the depreciation and amortization will be between $53 million and $56 million which includes the amortization of intangibles related to the acquisition of Krausz. Corporate SG&A expenses are expected to be between $34 million and $36 million. Net interest expense is expected to be between $23 million and $24 million. Our effective income tax rate for the full year is expected to be between 25% and 27%. Finally, we currently expect capital expenditures to be between $60 million and $65 million and we continue to evaluate additional investment opportunities. With that operator, please open the call for questions.
Operator: [Operator Instructions] And our first question is from Deane Dray with RBC Capital Markets. Your line is open.
Deane Dray: Thank you. Good morning everyone.
Scott Hall: Good morning, Dean.
Deane Dray: Hey, I just wanted to add our deepest condolences to the Mueller team and all the families impacted and also appreciate how Scott you and the team responded as an organization and just wanted to add that this morning to open up the call. Just moving on if we can, I always find it interesting and I know weather impacts you and what I think is important is you can you walk through how much of that gets recouped when it comes to municipalities, you know there's restrictions on overtime and there's only so much daylight that they can be working. So how much of that demand perishes and how much of that demand comes back and can you size it for us please?
Scott Hall: Yes, I think the way we think about it and then I'll try and size it. The way we think about it is, the capacity to do maintenance I think is fixed and so when you lose days, those days are basically pushing into the future until you have a crisis. So I think of that -- the municipal part that is let's call it non-contract but with city workers. That piece of it kind of gets pushed into the future and then the contract piece where the contractor has to flex their workforce or flex their work schedule, I think that tends to get evened out in a shorter period of time, that is to say that it's kind of a workforce capacity conundrum. So when we think about you know Q3, our fiscal Q3 and Q4, I think that the lost opportunity is about half of what will simply drift into the future, but I also think on a large scale team that as the infrastructure ages, more of this drifting will become a bigger and bigger problem as crisis become breaks become more frequent. So the behavior, the flex capacity will have to change in the industry. That's helpful.
Deane Dray: That's helpful. And then on the price cost side, I was interested in your comments that you expect to be offsetting the material cost increases that you've seen actually going back to 2017 and if you could dissect for us where are you getting pricing? Any push back from the customers and how much of your price increases have actually been sticking?
Scott Hall: Yes, so our most recent iron price increase was September, our most recent brass effective in, I believe, was April, Martie?
Martie Zakas: Yes and we did have another iron in February of this year as well.
Deane Dray: Right, so two if you will in fairly short order as steel has been a lot of inflationary pressures. So we have been -- since we reached the inflection point in Q4 of '16 which is kind of when commodity bottomed out and we've been on this multi-quarter inflationary cycle, we have been -- trying to make sure that we keep track of what the inflation impact to our cost base is and ensure we at least get that back. So my comments were meant to say since 2017 at long last we have finally broken through the inflationary cycle and the sum of price increases is now slightly exceeding the sum of inflation for that period. As to whether it's sticky or not, we're pretty firm when we go with a price. I think we've got discipline. I suspect there were some customers playing a little bit of chicken to see if we would blink on the most recent price increases, but we've seen bookings certainly in April look like we're not going to have any trouble keeping these most recent pricing activities to stick. So broad-based national scale and good yields so far.
Operator: Our next question is from Michael Wood with Nomura Instinet. Your line is open.
Mason Marion: Hi, this is Mason Marion on for Mike. Can you talk through each of your end markets and the trend you are seeing today particularly within municipalities and your backlog of any work.
Scott Hall: Yes, Mason, we don't actually talk much about backlog. I think it's helpful in some instances but not so much in the longer cycle stuff like the new [indiscernible]. So let's talk about the end markets. I think resi was 288,000 housing starts in the quarter and -- or 260,000, sorry, housing starts in the quarter, down from 288,000 a year earlier. So it was a tough quarter and I believe that is all inter-related to this weather problem. I mean if you look at the lumber guys, if you look and talk to the homebuilders, basically everybody's saying the same thing. It is a hot Seattle market, a hot market, weather played a big piece of not having enough construction days available to get things done and therefore, we've seen broad based kind of cranking in those markets and even in muni. The rest of the country though that wasn't impacted by the weather, we saw good growth in the muni market and so I believe spending and maintenance is still ongoing in most and the need for spending on maintenance is still ongoing in most of the muni area. All in all, looking forward, I think that we will see some of that pent up demand that we were talking to Dean about earlier caused by the weather to come in to Q3 and Q4, let's say half of it in the muni space and we'll see a return to growth given low housing inventories and pretty good demographic. So expect growth to return in Q3 and Q4 for us then.
Mason Marion: All right, great. And then on the Krausz acquisition, how is the integration going? Are you on pace to hit the synergies you guys expected when you acquired it and your appetite for any more M&A at this point?
Scott Hall: Yes, I would say that the team has done a really good job and that the collaboration is going very well between the Krausz team and the Mueller team. I think that we remain on track to hit our growth and synergy targets for the business you know the market notwithstanding and I also think that as we move through the integration process, we are getting to the point where we would start entertaining more acquisitions, but I don't think we have anything imminent.
Mason Marion: Thank you.
Operator: Our next question is from Andrew Buscaglia with Berenberg. Your line is open.
Andrew Buscaglia: Hey guys, thanks for taking my question. If you could talk a little bit about on your Infrastructure side sort of where do you stand in terms of the implementation of leaner manufacturing and some of the cost savings initiatives that you have been talking about over the last several quarters. Are those still on track and should we expect to see Infrastructure grow in 2019 in terms of margin?
Scott Hall: Yes, so let me break that down into a couple of pieces. I think that the lean journey is a multi-year journey and we are in our early stages of that journey and so if you were -- I won't I won't go operations geek on you and start talking about Kaizens and where we are in 5S and et cetera but still relatively early days, but should we expect margins to increase, yes, we should. I think that the team has done a really good job with our cost savings programs and I think the management of the CapEx and modernizing some of the machine shops and modernizing some of the foundries remains on track and therefore you should expect to see real cash positive increases and I think cash positive because we recognize we're pushing a bow wave of depreciation in front of us as a result of the increased CapEx levels. So I think there's good performance and you should continue to expect to see improvements in gross margin from our cost savings CapEx and pricing activities in Infrastructure going forward. I think that the reason it's been muted for the last two years and it has been muted. I think our progress in manufacturing has been greater than we've been able to display financially because of the inflation that's been massive inflation in steel and brass really muted the progress the manufacturing team has been making.
Andrew Buscaglia: Okay, that's helpful. In your Technologies segment too you had mentioned some delayed orders. Can you just talk a little bit about those. When do you expect those to resume?
Scott Hall: Yes, not delayed orders, I want to be clear that it's timing of orders. You'll recall when we grew last year we'd announced the big San Jose order multi nodes we had Eastbaymod, American Water, a lot of EchoShore-DX nodes. Many of those actually shipped in the second quarter of last year. This year while we continue to have record bookings, though our bookings are up more than double-digits in the Echologics business year-over-year through the first two quarters. The timing of those orders and when we can start shipping those EchoShore-DXs moves into Q3, Q4 and then Q1 of '20. And so the main message there is our bookings for nodes is actually up substantially. Our timing of when we can ship those nodes is becoming more spread out over the coming three quarters but it is a timing issue and so we should have a blip there and I would like to reiterate what Martie said earlier that for everybody on the phone the meter, the Metrology business grew in the quarter. It was just the noise associated with shipping all of those San Jose nodes in Q2 last year that caused the segment to show sales shrinking.
Andrew Buscaglia: Okay. Thanks very much.
Scott Hall: Thank you.
Operator: Our next question is from Brian Lee with Goldman Sachs. Your line is open.
Brian Lee: Hey guys. Thanks for taking the questions. I also wanted to express my condolences to your team and all those impacted by the tragedy here. Maybe first for you Scott on the question front, bigger picture just there's been some data points across different end markets that would suggest and particularly in construction you're seeing some pressure on the labor side. So wondering if any parts of your business you're seeing labor shortages impacting the end markets or sort of the rates of I guess volume and demand.
Scott Hall: Yes, I think the labor shortage issue is one that's certainly hitting homebuilders more than it would be hitting the contractors that we tend to be dealing with, but with that said, the economy is still fairly active and larger than it's ever been at any point in its history and therefore I think if you take the coupling of our tightening of immigration policy for skilled and semi-skilled labor along with where we are from a demand point of view that it is certainly something we feel. Now with that said, I think that curb and gutter going in and the concrete work, excavation work has been more stable for contractors over the past let's call it seven years. So the likelihood that we're not in quite as cyclical a labor market is better for us, but with that said, as I said earlier to Dean, we're not going to see flex capacity in this area for municipal maintenance or for curb and gutter in new residential construction. So I think we're -- we have some growth capacity left, but we're rapidly approaching where we're going to need to inject more labor and more crews into the works.
Brian Lee: Okay fair enough. And then just a second question on costs. I know you guys sound a lot more positive on the price cost dynamic than you have in some time, are you seeing any pressures though here to start the year or maybe on the horizon that could swing that price cost dynamic back out of your favor again and the reason I ask is given the margin performance in both Technologies and Infrastructure, I'm wondering outside of volumes which you mentioned if there are other levers that you would think have to move in your favor for the EBITDA growth targets to be achieved this year. Thanks guys.
Scott Hall: Yes, I think as long as we have a low/no inflation steel and brass environment, we should be able to do it. Now everybody wakes up in the morning and see what was tweeted. I mean 25% in increase starting Friday on steel tariffs would probably drive the scrap steel market to start seeing some increases and then we'd have a lag again. Those are all things that certainly we would be concerned about, trying to recover in the short term. So we couldn't wake up Friday morning and find out that steel was up, scrap steel had started a 10%, 15%, 20% inflationary crawl like it did the last time we put in the tariffs. So those things notwithstanding, we would expect a relatively flat commodity environment with no shocks coming from the era of discussion. Other than that though, I think that they are achievable. I'd like to reiterate too what Martie said earlier in her comments. We had 100 basis points improvement in gross margin. If it weren't for taking the inventory step-up in Krausz, which is about -- what did you say Martie? $2.2 million a quarter and so it's amortized and so that's good price and price cost performance that 100 basis points from operations I think is encouraging. Obviously, we also need volume from the end market. So we have to be right about this continued growth projection.
Brian Lee: Okay, makes sense. Thanks guys.
Scott Hall: Thank you.
Operator: Our next question is from Walter Liptak with Seaport Global. Your line is open.
Walter Liptak: Hi. Thanks. Good morning everyone. I wanted to ask about the resi part of the business too and just any trends that you're seeing in April and I know you guys dig really deep into geographic regions and I wonder if it's possible just to plus and minus the geographic regions maybe looking better in April and I've heard of some continued weather impacts in April. I wonder how you're feeling about how the quarter started out?
Scott Hall: So our outlook is supported by what we saw in April. I think that both bookings and shipments give us pause and say yes, we are right that resi will return to growth from our April result. So yes, we're encouraged. I'm not going to get into regional sales performance because I think it's too much from a competitive point of view, but just like I think if you look at the lumber industry and you look at the house building data, the hot markets for resi have been the American Southwest, the Pacific Northwest particularly Seattle and Portland, Oregon and then in Tennessee you see real tons of growth in the Nashville area and they all just basically disappeared in Q2. And I don't think there's anything fundamental about what's going on in Seattle, Portland, the American Southwest migration or Nashville that would lead me to believe that somehow demand has fundamentally stopped. So I expect those regional markets to return to growth and that's kind of why we've had this somewhat bullish view that -- we had a ton of snow in Seattle. Nashville was under six, 10 inches of water for most of the second quarter. So yes, I think that they'll all come back and that's why we remain bullish on the outlook for our year.
Walter Liptak: Okay, sounds good. And if I could switch over to the tech part of the business. With this, the project timing looking good for the next three quarters. I wonder if you would comment about EBITDA levels. Could we see EBITDA turning profitable and maybe give us a kind of a magnitude on that?
Scott Hall: Yes, when I do the guidance I always try to do the consolidated guidance. I can tell you that the Technologies engineering teams currently are working on the pressure modules for hydrants. They're working on transducers. They're working on a myriad of things that wouldn't show up in the Technologies business but those engineering costs are embedded there. So I'm not going to get into saying when it will return to profitability. I think the emergence of 5G also means that on our radios we're going to have another development cycle in nodes. So I think that those are things that are positioning us well for the future. Overall, I think that the EchoShore-DX business continues to be something that gives us encouragement. We're having good success locating leaks with it. I think that the development of the software so that we're able to run more and more machine-learning algorithms to start looking at the acoustic signature of the devices that we can actually get into better predictive maintenance modeling is also going very well. So I think these are relatively in $1 billion business the Technologies segment, $100 million-ish and has the bulk of the engineering expenses in it, I think it's really good investment to give us a window on where the future of water will be and we're committed to it. With that said, I expect the meter business by itself without Echo, without the software load, without the aid all of that to continue to make the progress they've been making and so I think it's important to acknowledge the team that all of the improvement we saw year-over-year I think it was $700,000 in EBITDA Martie, came from the meter manufacturing team. That's all work on price, that's work in projects and working the manufacturing floor. So all really good progress and it gets muted when we continue with these technology development items or the EchoShore and Echologics investments, but I do think they're good investments for the future. So will it return to profitability? I don't think in the next six months if it will. We might have a quarter of profitability if you get enough demand in it, but I think the development projects are the things that I review with the team and I am encouraged by the progress they're making.
Walter Liptak: Okay great. Sounds promising. Thank you.
Scott Hall: Thank you.
Operator: Our next question is from Zane Karimi with D.A. Davidson. Your line is open.
Zane Karimi: Good morning guys. This is Zane on for Brent. I want to -- first I want to provide my deepest condolences to you and the rest of the team at Mueller.
Scott Hall: Thank you.
Zane Karimi: And then I was kind of thinking you also talked about Krausz and how it's performing well relative to your expectations, but I was wondering if you have any growth rates for them on a standalone basis for this quarter and what you're seeing as potential improvements for this acquisition and integration down the road.
Scott Hall: I'm going to ask Martie to keep me honest here, but I think the number was around $11 million in the quarter.
Martie Zakas: Yes, and their contribution to sales -- net sales in our second quarter.
Scott Hall: Yes, so that would be for them just right at I think that double-digit kind of line for the quarter year-over-year, but I'm not sure about that. I know their American ship business was good and the European was a little softer, but overall, the qualitative aspects of my comments were based on the progress I see with the team integrating, the sales forces working together, the joint calls that are going on between -- where Krausz frankly have good relationships and we were able to leverage their relationships and saw decent people that we hadn't met before and conversely where our sales team had good relationships and we were able to bring Krausz in and get them established fairly quickly. So I think the ground work things to ensure that we get the growth we want have been done in these last 90 days. I do feel like the ground work stuff of -- salesmen can be turf and say I'm not taking this person here, but we haven't had any of that and I think everybody's been very professional and very realistic about what has to happen in order for us to recognize and realize our growth potential together and I've been pleased by making sure that those activities have happened, but I think the -- if it's around $11 million, I'm not sure what the growth rate was Martie, but --
Martie Zakas: We just generally said that as you looked at where Krausz has been, it's been sort of growing in net sales in a low-double digit and then just with respect to EBITDA, we said it was pretty much in line with Mueller Water Products, just to give you an idea.
Zane Karimi: Thank you for that color there. And then I was hoping you'll could talk a little bit more on the M&A pipeline and with regards to a preference on geographic expansion or a product portfolio expansion and how you look at that moving forward?
Scott Hall: Sure, you know this is kind of reminiscent of a couple of the early conference calls but we have certain adjacencies that we've identified that we like in both North America, Southeast Asia, Western Europe in particular. We think where age of infrastructure is an issue kind of post-World War 2 development I think that we feel like we have both knowledge of what the state of the network is and adoptability of our technologies and products. With that said, we have very strong channel relationships in North America. So adjacencies that would utilize our existing channels are very attractive to us because we think that we know whether we can leverage a product into an industrial channel or something else. So I think that the pipeline is full of both the geographic expansion opportunities as well as getting into some of the other industrial and niche water market areas that we think our channel and/or our manufacturing expertise could be leveraged.
Operator: Our next question is from Joe Giordano with Cowen. Your line is open.
Scott Hall: Yes, we don't quantify it but we always see a little blip around -- we announced the price increase, the distributors have I believe it's 30 days to get their systems in line with it at an effective date in the future and they can buy and have a release and generally some of them try and pre-buy and we saw some of that, but nothing out of the ordinary and it wasn't remarkable in any way, it was kind of in line with last February's price increase.
Scott Hall: Thank you.
Operator: Our next question is from Jose Garza with Gabelli Asset Management. Your line is open.
Jose Garza: Hey good morning guys.
Scott Hall: Good morning, Jose.
Jose Garza: Good morning. As others I just want express condolences here. I guess in terms of the quick one on just the corporate expense Martie, it looks like it's kind of been running kind of at a $32 million level but it looks like you guys are guiding for a little bit higher. Is there anything just to call out there that is worth noting.
Martie Zakas: I would say nothing to call out. You'll find out sometimes with corporate expenses there can just be timing matters among the different quarters, but overall as we as we look out for the year, I think we lowered our guidance very slightly with respect to outlook for the corporate expenses for the full year running between $34 and $36 million.
Jose Garza: Okay and on share repurchases, none year-to-date I guess just kind of fill us in on how you guys are thinking about those and in the context of other spending that you guys are undergoing?
Martie Zakas: Yes certainly. I'd say overall as we look at capital allocation as we talked about we look for it to be a balanced approach. Certainly looking at returning to shareholders through both dividends and share repurchases as well as considering acquisitions and our capital investments and certainly having closed Krausz in our first quarter, that was certainly a large use of cash for us. Additionally, we've talked about the level of capital expenditures where we are currently looking at about $60 million to $65 million for our year which is an increase versus 2018 and we're also considering some additional investments as well. So I'd say we certainly have all that on our mind and if we look since December of 2016 when you look at the combination between dividends and share repurchases, we have returned about $155 million in cash to shareholders. So I'd say going forward, we've got about $160 million that remains in authorization for share repurchase and we will continue to look at all of those components of capital allocation going forward.
Jose Garza: Okay and did I hear you correctly that Krausz was $11 million contribution?
Scott Hall: I said around $11 million. I wasn't quoting an exact number, but around $11 million Jose.
Jose Garza: Okay, thanks very much guys.
Scott Hall: Thank you. Okay, I think that's all the time we have for questions and I wanted to try to go through a couple of things. I think mainly I think the express a sense of pride for how the team has handled what was a very difficult quarter both from a operational impact point of view as a result of the tragedy and also the pride from the fact that despite the challenges that we saw from the weather and things we've been talking about for the last 45 minutes that we were able to pick our heads up and continue to make progress with both the operational improvements as well as the integration of Krausz and the progress with customers and so I was very happy with that. I'd like to thank you all for your support. Many of you reached out to me in February and I wanted to personally say thank you for all your support and encouragement and I wanted to close the call with a quick update on a former Mueller family member since many individuals in the investment community have been involved with Mueller since it was spun out as a publicly traded company, I wanted to let you know that our Chairman and CEO, Greg Hyland, the founder of basically original IPO, CEO passed away a couple of weeks ago. For more than two years, from the day I got here, Greg was waging a ferocious battle against cancer before he finally succumbed to the disease and I had known Greg since 2001 and was always a fan of his gregarious nature and business acumen and humanity. I will always remember Greg as being a perfect gentleman and our thoughts here are with Brenda and his family, but I wanted to let you know that Greg had passed because I know there had been some questions over time about where he went so quickly, but he has been waging a battle for the last 2.5 years. So thank you all for your interest and I hope you have a great week. And operator, that's all we have.
Operator: Thank you. This now concludes today's conference. All lines may disconnect at this time.